Operator: Good morning. Welcome to the Kellogg Company First Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. At this time, I will turn the call over to John Renwick, Vice President of Investor Relations and Corporate Planning for Kellogg Company. Mr. Renwick, you may begin your conference.
John Renwick: Thank you, operator. Good morning and thank you for joining us today for a review of our first quarter results and an update on our outlook for 2022. I'm joined this morning by Steve Cahillane, our Chairman and CEO, and Amit Banati our Chief Financial Officer. Slide Number 3 shows our forward-looking statements disclaimer. As you are aware, certain statements made today such as projections for Kellogg Company's future performance are forward-looking statements. Actual results could be materially different from those projected. For further information concerning factors that could cause these results to differ, please refer to the third slide of this presentation as well as to our public SEC filings. This is of particular note during the current COVID 19 pandemic and supply disruptions when the length and severity of these issues and result in economic and business impacts are so difficult to predict. A recording of today's webcast and supporting documents will be archived for at least 90 days on the Investor page of kelloggcompany.com. As always when referring to our results and outlook, unless otherwise noted, we will be referring to them on an organic basis for net sales and on an currency neutral adjusted basis for operating profit and earnings per share. And now I'll turn it over to Steve.
Steve Cahillane: Thanks, John and good morning, everyone. We're pleased to be able to report another good quarter, delivering solid results even ahead of plan by sustaining growth momentum across our international businesses and our North America snacks brands realizing price and productivity amidst decades, high inflation and executing with agility. After all we are navigating through what I think you would all agree continues to be an extremely challenging operating environment. The situation in Ukraine only accelerated cost inflation and exacerbated the global economy's bottlenecks and shortages. It also prompted us to suspend all shipments and investments into Russia and to identify new sources for certain ingredients. Meanwhile, the team has done an excellent job of quickly restoring and ramping up production in our US cereal plants, following the fire end strike of last year's second half. Our inventory is gradually building toward normal levels as planned, enabling us to start replenishing retailer inventories earlier than expected in the first quarter. To be able to affirm our full year earnings guidance is a testament to our strategy, our brands and our people. Our deploy for growth strategy shown on Slide Number 5 is working. This strategy is still as appropriate and effective as ever, even as occasion shift and the operating environment evolves. We continue to emphasize occasions and build on our world-class brands. We continue to see the benefits of our reshaped portfolio and through extreme supply challenges, we continue to focus on service and in-store effectiveness. Behind all these growth boosters are capabilities that we have strengthened from data and analytics, to eCommerce, to revenue growth management, to a robust innovation pipeline. You're seeing the benefits of these capabilities in our actions and results. Simply put, the strategy is working. We remain equally focused on better days, our ESG strategy. Actions are louder than words. Slide Number 6 offers some examples of our ESG activities during the first quarter. They reflect continued action on various elements of ESG as we remain committed as ever to our values and doing what is right for the planet and for our communities. Sticking into our strategy and focusing on execution is resulting in sustained top line momentum as you can see on Slide Number 7. We had restored top line growth in 2019, experienced the pandemic-related acceleration in 2020, and yet sustained the strong growth in 2021 despite what we were lapping and in quarter one of this year, even with difficult comparisons, we continue to exceed our long-term target of 1% to 3% net sales growth with organic growth of more than 4%. I'll call out two key elements that are behind this momentum. The first is our reshaped portfolio. Our largest portfolio segment develop market snacks continued to generate strong growth led by world-class brands like Pringles, cheese it and others, and our emerging markets collectively sustained double-digit growth. So even in a quarter when one of our businesses North America cereal was notably soft, declining 10% year-on-year because of a lack of inventory, this was more than offset by momentum in the rest of our portfolio. And the second element is price realization. In an environment in which cost inflation is too high to cover with productivity alone, we have leveraged our enhanced revenue growth management capabilities to realize price effectively. We've been realizing price ever since cost inflation began to accelerate back in the second half of 2020 and we have accelerated as the market-driven cost inflation worsened. The result of all of this strategy, executional focus and sustained momentum is another quarter of delivering results and affirm full year outlook and increased cash to share owners as discussed on Slide number 8. We grew our net sales faster than we had anticipated, and we delivered more operating profit than we had projected. Our earnings per share and cash also came in ahead of our plan. This puts us in a good position. It allows us to affirm earnings guidance for the full year as an improved net sales outlook covers the impacts of accelerated cost inflation and supply disruptions, including Russia and Ukraine. It also enables us to increase the cash return to share owners, which we have done both in the form of accelerated share buybacks and an increased dividend. So with that introduction, let me now turn it over to Amit who will explain our results and outlook in more detail.
Amit Banati: Thanks, Steve and good morning, everyone. As Steve said, we're off to a good start to 2022. We'll start with a brief summary of a quarter one financial two results on Slide Number 10. Our net sales growth came on top of similarly good growth in the year earlier quarter and is tracking ahead of our previous full year guidance. As expected, operating profit declined against last year's double-digit gain, but it should be noted that the year on year decline was entirely related to the wraparound impact to the fire end strike we experienced in 2021. Earning per share also exceeded our expectations, reflecting the better operating profit and with unfavorability in other income offset by some discrete favorable items in our tax rate. Cash flow came in ahead of plan and significant that last year. Slide Number 11, lays out the components of net sales growth in quarter one. Volume was down year on year due to lapping a strong two-year CAGR of nearly 4%, but also due to lacking inventory in certain businesses going into this year, most notably in our North America cereal business. In fact, North America's cereal volume decline represented almost half of our total companies year-on-year volume decline in the quarter. We also saw price elasticity resuming in many markets just as we have been forecasting, although still running well below historical levels. Price mix grew nearly 10% year-over-year and acceleration from recent quarters as we continue to work to offset market-driven cost inflation. This price realization is predominantly priced as we continue to implement revenue growth management actions in all four regions with a much smaller contribution coming from our mix shift towards snacks. The result was organic basis net sales growth of over 4% year on year, another strong quarterly performance that continues to exceed our long-term target. This was better than focused principally because of less price elasticity than expected, but also because of sooner than anticipated replenishment of trade inventories in North America cereal, at least some of which could be considered timing related. Foreign currency translation clipped nearly two percentage points of net sales growth in the quarter with a US dollar strengthening year-on-year against virtually all of our major currencies. Slide Number 12 shows our gross profit in dollars, as anticipated, our gross profit declined year-on-year principally because of supply disruption. The good news is that productivity and revenue growth management continued to mostly cover the market-driven cost inflation despite the latter accelerating again in the quarter. This is what we can manage and we've done a good job of it. The single largest driver of our gross profit decline was a transitory impact of the fire and strike we experienced in the second half of last year. This impact reflects not only lost sales year on year, but significant costs as well. On top of this, are the economy-wide bottlenecks and shortages that are expected to persist at least through the first half. These two factors accounted for almost all of our year-on-year decline in gross profit dollars in quarter one and about half of the margin contraction. These are transitory factors and should diminish as the year progresses. The rest of the margin contraction was related to mix. As we've discussed, our only meaningful mix headwind is the shift towards emerging markets and particularly toward our EMEA region and its Nigerian distributor business. Multipro. In Quarter One, this mix shift towards EMEA was especially pronounced. As we've often stated, this mix shift does not bother us because our growth in emerging markets and in Multipro are not cannibalizing any of our higher margin developed markets businesses, which brings us to operating profit on Slide Number 13. Despite transitory supply disruptions, our operating profit remains on an upward trajectory owing primarily to higher net sales with our supply constraint in many of our businesses, most notably in North America, cereal our advertising and promotion investment was much lower than usual in quarter one. As we discussed last quarter, this A&P investment is expected to be restored gradually across the year in line with our recovering supply. The result of our lower gross profit was a year on year decline in operating profit, which was also up against a double-digit growth comparison. Importantly though, a quarter one operating profit was still higher than that of quarter one 2020 and quarter one 2019, sustaining an upward trajectory. Turning now to our below the line items on Slide Number 14; lower debt year-on-year translated into lower interest expense, though the run up in rates during quarter one will likely create year-on-year increases in the coming quarters. Other income was negatively affected by lower pension income as expected, but also by the impact of a declining bond market on a company-owned life insurance investments. Lower net pension income will continue through the year. Our effective tax rate benefited from a couple of relatively small discrete items in quarter one, our JV earnings and minority interests collectively improved year on year reflecting the consolidation of certain Africa JVs at midyear last year and average shares outstanding decreased year-on-year, mainly reflecting the repurchases we made in 2021. We were active on buybacks during the quarter, and this will have an impact on average shares outstanding in quarter two. Let's look at our cash flow and balance sheet on Slide Number 15. Cash flow came in strongly in quarter one on the strength of higher net earnings, continued management of co-working capital and some timing of accrues and capital investment. As you can see on the chart, we stock the year well ahead of where we typically are in quarter one, aside from the unusual pandemic year of 2020. In addition, our net debt remains lower year on year. Between strong cash flow and or deleveraged balance, we feel good about our financial flexibility. This financial flexibility has given us the ability to increase the cash we return to share owners. We recently announced another increase in our dividend and in quarter one, we repurchased some 300 million of our stock. Let's now turn to the rest of the year. Our primary planning assumptions are shown on Slide Number 16. We expect to deliver sustained momentum on the top line led by our strong snacking portfolio around the world. And geographically by our emerging markets. Price mix would continue to drive our net sales growth as we try to keep up with rising costs and as we continue to assume, some combination of decelerating at home demand growth and resume price elasticity. Our market-driven cost inflation has gotten higher worsened by the war in Ukraine, and it looks like it will persist longer than originally anticipated. This has been incorporated into our outlook. From a supply disruption standpoint, we are largely past the fire and strike impact, though we will still expect bottleneck and shortages to persist at least through the first half, with disruption related to the war in Ukraine, more weighted to the second half. Meanwhile, as we mentioned, we do plan to gradually restore overhead and brand building investment across our regions as the year progresses, be it behind capabilities or resumed commercial activity behind supply constraint brands. Slide Number 17 shows how these planning assumptions translate into updated full year guidance. We are raising our forecast for organic basis net sales growth to about 4% growth versus our previous estimate of about 3%. This reflects the momentum in our business and the fact that price mix is likely to come in higher than we previously planned as we seek to cover incremental cost inflation. This higher net sales should offset the incremental pressures of accelerated cost inflation and supply disruption. As a result, we continue to focus currency-neutral adjusted basis growth of 1% to 2% in operating profit. We also continue to forecast currency neutral adjusted basis growth of 1% to 2% in earnings per share with a further reduction in other income, partially offset by the fully year flow through of quarter one, discrete tax benefits. From a phasing standpoint, the only new news since last quarter is that we got off to a better than expected start in quarter one, but that our second half will now experience more cost inflation and disruption and cost related to supply. Finally, we continue to forecast cash flow of $1.1 billion to $1.2 billion. This is roughly in line with our reported basis net income growth with no changes to our disciplined approach to restructuring outlays, co-working capital and capital expenditure. So in summary, we got off to a good start in quarter one, delivering solid financial results in the face of massive headwinds, and even putting us ahead of plan. Our brands continue to perform well and we have been effective at offsetting market-driven cost inflation with productivity and revenue growth management. Our cash flow generation remains strong and our balance sheet remains strong. So we feel good about our financial position and the outlook. Let me now turn it back to Steve for a review of our regions.
Steve Cahillane: Thanks Amit. The first thing you'll note about our quarter one is the continuation of broad-based top-line growth. Slide Number 20 shows our organic net sales growth by region in the first quarter, along with the two-year CAGR they had to lap. We generated organic bases, net sales growth of 8% in Europe, 6% in Latin America and 17% in EMEA. These are exceptional growth rates. And in North America, where last year's fire and strike left us with low cereal inventory and therefore lost sales, our reported and organic net sales were still only down, less than 1%. In fact, if you exclude cereal, the rest of our North America business grew by 3% to 4% year on year, even against tough comparisons. In a moment, we'll walk you through the key category groups within each region. You'll see the continued exceptional growth of a relatively new growth leg for us and that's noodles in Africa. You'll see that cereal and frozen foods, the category groups that are the most at home in nature have therefore seen the most deceleration as consumer mobility has increased, but outside of North America with its supply disruption from the fire and strike, we do continue to grow in cereal internationally, but you'll also see that in all four regions, our biggest category group snacks, continue to grow strongly, even against tough two year comparisons. Slide Number 21 offers the world-class snacks brands we've been talking to you about, and they had another quarter of excellent consumption growth. Pringles continues to gain penetration and distribution in key markets around the world and continued its strong consumption in net sales growth in the first quarter. Cheez-It, already a powerhouse in the US is growing rapidly in Canada and is off to a strong start in its launch in Brazil. Pop-Tarts continues to grow in the US, but look at its growth rates in markets like the UK and Mexico as well. Rice Krispies Treats is enjoying explosive growth in several markets outside of the US as we put more focus and support behind that unique brand. Not only are these brands continuing to grow in North America, but this chart can give you a glimpse of their international potential. Aside from Pringles, these brands are in very early days of expansion, which is part of our strategy and their growth rates speak to their long-term potential. Let's now review each region in turn, starting with North America on Slide Number 22. North America's net sales declined slightly on an organic basis owing to the fire and strike related impact on cereal. Supply constraints, most notably low inventory heading into the quarter for cereal did pressure volume, but as we'll see in a moment, we did sustain good momentum elsewhere in the portfolio, especially in snacks. Price mix grew more than 7% year on year as we continue to implement revenue growth management actions. Operating profit declined year on year, not only because of lapping a mid-single digit two year CAGR, but also because of the bottlenecks and shortages that persist in the economy and the wraparound impacts from the fire and strike we experienced in the second half of 2021. Our snacks business in North America posted organic net sales growth of 5% in the quarter. As you can see on Slide Number 23, this sales growth lag consumption, which remained quite strong. Pringles generated consumption growth of more than 8% year-on-year lapping last year's double digit gain. This brand is in very good shape. We saw strong growth in our core four flavors in standard cans propelled by effective brand building, including our super bowl execution and we saw continued rapid growth in multi-packs and in a sign of resuming consumer mobility, we are seeing a rebound in immediate consumption offerings as well. Cheez-It also sustained its strong momentum growing consumption in the double digits with the new puff platform, proving to be incremental to both the snap platform and the core cracker line, but we didn't just gain share in crackers because of Cheez-It. We also outpaced the category with the club and townhouse brands, Pop-Tarts grew consumption in the double digits and so did Rice Krispies Treats with both brands sustaining excellent momentum through the strength of effective marketing programs and incremental innovation. And while we're at it, Nutri-Grain also grew consumption in the double digits and RX continues to reaccelerate its growth as consumers go back on the move. So our North America snacks business remains very strong. Let's turn now to North America cereal on Slide Number 24. Recall that 2022 is all about recovering from last year's fire and strike. As you know, we entered the quarter with very low finished goods inventory, which obviously hampered our net sales and consumption year on year. The good news is that our first order of business in quarter one was restoring production in the four affected plants, which our team achieved and ahead of schedule. With demand holding up well and retailers anxious to restore their inventories, we were able to ship out more product in the first quarter than we had anticipated. This certainly will help us improve consumption, going forward. Slide Number 25 offers a good way to gauge our progress on restoring supply. It measures our share against our total distribution points. You can see the sharp decline in last year's fourth quarter, as retailers ran through their inventory and we were unable to partnership it. As we ramped up production during the first quarter, you can see product returning to the shells in the form of recovering TDPs and therefore share. This reflects our improving supply and is a testament to the strength of our brands and relationships with our retail partners. This sequential improvement is what we to continue to realize as we get through the first half. In fact, this positive trend has continued quite clearly in April. This will put us right on track to gradually restore commercial plans brand by brand toward full recovery in the second half. Our frozen businesses in North America are depicted on Slide Number 26. Consumption growth remained strong with mid-single digit growth on top of a mid-single digit two-year CAGR. This is good performance given that we've been capacity constrained, especially on pancakes. The even better news is that we have incremental capacity coming online in the second quarter. In our plant-based business, Morningstar farms consumption was down against the mid-teens two year CAGR comparison and the category has paused on distribution gains and household penetration gains after surging the past couple of years. We've seen some share losses, competitors have entered and expanded offerings in our segments and in many cases competing intensely on price. So in total, North America got off to a good start in the first quarter with progress on supply recovery in cereal and in market momentum elsewhere in the portfolio. Closing out North America Slide Number 27 highlights some of the exciting innovations and commercial programs we have going into the marketplace. To remind you that even though we're in an unusual supply environment, we continue to delight consumers. On the innovation front, Cheez-It puff is off to an even faster start than Snaft [ph] the platform we launched a couple of years ago. Club Crisps is also new to the market, providing a light and fresh snack that's built on the strength of our Club Crackers line. For Pop Tarts we've launched new flavors like Snicker Doodle, expanded on a simple ingredient line called Pop Tarts Simply and brought back a fan favorite Frosted Grape. And in Frozen, beyond the lookout for Eggo's new Liege-Style Waffles for on the go consumption and some exciting new varieties of Morningstar farms, including a delicious pancake wrap sausage on a stick. From a marketing standpoint, Mission Tiger is roaring back, helping kids gain better access to use sports. These are just a few examples of why we are so confident that we can sustain our snacks momentum, recover cereal and reaccelerate Frozen. Now let's discuss Europe shown on Slide Number 28. Europe had another outstanding quarter growing net sales 8% and operating profit by 28%. Even as it lapsed strong year ago growth for both metrics. While volume was down against the tough comparisons, Europe's RGM efforts continued to generate price mix growth and productivity also helped to cover costs enabling increased A&P investment. On Slide Number 29, you can see that we experienced organic net sales growth in both snacks and cereal in the first quarter, despite what were very tough comparisons on a two-year basis. In snacks, the growth is underpinned by fantastic momentum in consumption for Pringles which gains share in markets like Germany, Italy and Spain and lagged the category's double-digit growth in the UK only because of tougher comparisons. We should also point out that in portable wholesome snacks, where categories are rebounding on a return to consumer mobility, our efforts to revitalize brands like Rice Crispy Squares and Pop Tarts are starting to pay off, with share gains in markets like the UK and Italy. In cereal, assumption is moderating across the region as consumer mobility and price elasticity resumes. While we have gained share in the UK and Germany, we have seated share in other markets in part because of lapping tougher comparisons. Nevertheless, some key supported brands continue to do well as shown on this slide. A quick word about the situation in Ukraine, Russia and Ukraine represent less than 1.5% of our total company net sales, and less than 10% of our sales in Europe. We have suspended shipments and investments into Russia, which will have a direct impact on our sales and profit in Europe this year. This is incorporated into our updated guidance. Overall though, Kellogg Europe is off to a very good start to 2022, and we feel good about the business. Now let's discuss Latin America, turning to Slide Number 30. Latin America too faced notably impressed of comparisons, particularly on a two-year CAGR basis and especially on operating profit. But this business got off to a good start with year-on-year net sales growth driven by price mix growth and operating profit that declined less than we had expected. Slide Number 31 shows that our Latin American net sales growth was led by snacks. Here too, Pringles is showing impressive momentum, outpatient in the category's double-digit growth in Mexico and Brazil. In portable wholesome snacks our consumption has rebounded faster than the category in our principle markets of Mexico and Puerto Rico and cereal category consumption growth remains robust across the region and we outpace the category in key markets, However, tough comparisons and regulatory hurdles in Mexico negatively impacted our cereal net sales in the quarter. Nonetheless, our Latin America business continues to perform well. Let's finish our business review with EMEA on Slide Number 32. Quarter one featured another exceptional performance by our fastest growing region. Despite lapping a strong two-year CAGR for volume EMEA continued to leverage RGM for exceptional price realization across the region, which helped it offset the margin impact of high costs. The result was double-digit growth in both net sales and operating profit versus the prior year. Slide Number 33 shows how EMEA net sales growth was generated across all three of our product category groups in the region. Noodles was once again the largest contributor to the growth, reflecting exceptional growth by Multipro in West Africa and our continued expansion of the Kelloggs Noodles brand in markets like Egypt and South Africa. Our strong snacks growth was led by Pringles, which sustained goods consumption growth, even as it entered the quarter with low inventories coming out of last year's COVID related production restrictions. In portable wholesome snacks, our double-digit growth was strong enough to gain share in Australia and in the rest of the region. In cereal, the overall region's category has decelerated to modest growth, but we have gained share led by Australia, Korea and South Africa. So to close out of prepared remarks, let me briefly summarize with Slide Number 35. We're off to a very good start to the year. We remain right on strategy as ever focused on dependable, balanced financial delivery. We are navigating well through unprecedented cost and supply challenges and through it all, we have sustained top line momentum, both in net sales and consumption growth. This reflects the strength of our reshaped portfolio, particularly our international markets and our North America snacks and frozen businesses. It also reflects what we have done on revenue growth management in order to help cover rising costs. Put it all together and we come at to quarter one ahead of plan, which is an important benefit as we look ahead to continued uncertain market conditions. We are affirming our guidance for the year and we are increasing the cash we return to share owners. As always, I can't thank enough the talented, resourceful and persevering Kellogg employees who have made performance and our bright prospects possible. And with that, we'll open up the line for questions.
Operator: [Operator instructions] Our first question is from Chris Growe from Stifel. Chris, your line is open.
Chris Growe: Hi. Good morning.
Steve Cahillane: Good morning, Chris.
Chris Growe: I just had a question. Hi, good morning. I had a question for you if I could. Steve you'd mentioned about being able to rebuild inventory a little faster and I guess I want to ask first, is that a US comment? I presume it is versus a global comment. I think it's an area where you've had a little more of a shortage. And then just to get a sense of where you are in the recovery. You showed a chart with TPDs and kind of rebuilding distribution in cereal. But is it Q2 when that kind of starts to make a further pushup? I just want to get a sense of where you are in that process.
Steve Cahillane: Yes. Thanks, Chris. It is a U.S. comment. I mean inventories are down really across the globe, generally speaking, because of supply shortages, bottlenecks and the like. But the big issue for us is in the U.S. and predominantly in cereal because of the fire and strike. And so we're ahead of where we plan to be. So that's great. I give a real tip of the cap to our 4 cereal plants that came back to work, came back motivated and are building inventory ahead of plan. And we appreciate that and those efforts and the leadership in the plants and the plant workers. The second quarter, you'll see accelerated commercial activity. And really in the back half of the year is when we plan to be resuming full commercial activity against our cereal portfolio. So that's why we're encouraging looking at the sequential improvement. If you look at year-over-year performance and share in U.S. cereal, clearly still down, but that's based on low inventories and lack of commercial activity. But when you look at the sequential performance of the business, our goal is each and every week to continue to build our TDPs and each and every week to continue to accelerate our share momentum and get back to where we belong because the brands are still incredibly strong, relationships with retailers continues to be very, very strong, and we're working together to get this business back to where it belongs.
Chris Growe: Okay. And I had just a quick question for Amit on inflation. Can you give the rate of inflation -- if you did, I missed it, I'm sorry -- for the first quarter? And then how that fares versus the remainder of the year? And then to what degree you may be hedged on those input costs?
Amit Banati: Yes. So on inflation, I think we talked in our last call as well that we ended the year with an outlook of double-digit inflation. I think through the quarter, we saw that inflation accelerates. And I think when I look at the rest of the year, what's incorporated in our guidance is continued double-digit inflation. It's notched up by 2 to 3 points. So that's kind of what's been incorporated in our guidance. I think in hedge levels, we are almost at around 80% level of hedging. So that's where we sit. But it's important to note that this is just for traded commodities, which is about a quarter of all our costs. Yes. The only thing -- only other thing I'd add is that our outlook now for inflation goes into the second half. And so it's not moderating at the level that we thought it would.
Operator: Our next question is from Jason English from Goldman Sachs.
Jason English: Good news. I really got lots of questions left. So first, Amit or Steve, I forget who had said it, but I heard comments of price left to see returning in some markets. Can you elaborate which markets were you seeing heightened or return to more normalized type price sensitivity from consumers?
Steve Cahillane: Yes, Jason. So I'll start, and Amit can add. We're seeing clearly elasticity still well below normal levels. So I think that's the important thing to note. But we are seeing -- when you look at 2-year CAGRs, we're starting to see the return of elasticities, which is not surprising given the level of pricing that's in the market. You're seeing it more in some of the at-home meal occasions. So cereal and frozen. We're seeing a little bit more snacking, less so. And we're incorporating that into our guidance. So we're planning on elasticities growing as pricing continues to be very elevated but still below what you would normally see prior to all these disruptions.
Amit Banati: Yes. The only other thing I'd add, Jason, is that the elasticity was better than what we had expected, and that's kind of one of the factors that drove the outperformance versus our plan in quarter 1. So far, it's been better than what we had expected.
Jason English: Yes. Got it. It seems pretty consistent over here in industry [indiscernible]. One more slightly more nuanced question. I think you know we've got these gross margin bridges where we try to tie gross margin every quarter. And for a very long time, there's been leakage there. It's either due to inefficiencies like a single-serve pack initiative. It's due to mix like the African business, maybe outpacing everything else. This is one of the few quarters where on our math, like, there really is no leakage. You're kind of back to whole. I can plug in the math, and the math works. I know you can take out another 100 to 200 basis points. And I guess my question is, are you aware of why? Like why might the flow-through be a little more cleaner? And are we at a point where we may not be facing the same degree of maybe mix or mix degradation or leakage going forward?
Amit Banati: Yes. I think, Jason, if you look at our quarter, right, quarter 1, our gross margins were down 280 basis points. I think the biggest driver of that was the impact -- was the wraparound impact of the fire and strike. So that, I would say, would be almost half of the of the gross margin decline in the quarter. We continue to see bottlenecks and shortages. So that continues to impact the gross margin. Our assumption is that it will continue through the first half of this year and then start moderating in the second half. So I think that's the -- that was the single biggest impact in the quarter. From a mix standpoint, again, the mix, we did see a mix impact just given the level of growth in EMEA, which grew 17% in the quarter. So that mix shift -- I would say that mix shift would continue as AMEA continues to grow faster, but it was more pronounced in quarter 1. And I think when you kind of look at the outlook for the year, what's in our guidance is an improving trend. I would expect gross margins to continue to decline in the coming quarters before bouncing back in quarter 4 when we lapped last year's fire and strike, but definitely an improving trend because the impact of the fire and strike is now behind us. And I think when you kind of look at the outlook for gross margin for the full year, I'd say sitting here today we'd probably say that it will be down around 1%.
Operator: The next call question is from Cody Ross from UBS.
Cody Ross: In the press release, you noted higher price/mix as the reason for the higher organic sales outlook for the year. Does that mean you're taking another round of price? And if so, which parts of your portfolio is that in? What's the magnitude? And when will that be affected?
Steve Cahillane: Yes. Cody, thanks for the question. So we don't comment on prospective pricing. But I think when you look at what we've done, it's a good indication of what we'll plan for in the future. So we have -- in terms of our revenue, our net sales growth, it's virtually all price/mix, right? And that's due to obviously the incredible input cost inflation that we're seeing and the fact that productivity just simply can't cover this type of inflationary environment. We see that continuing. And so as we look forward, we're going to continue to look at productivity as the first line of defense, but we're going to be in a situation where it's not going to be enough, and we'll look at our whole revenue growth management toolkit in order to protect and preserve our margins going forward. And excuse me, that's around the world. So that's not just the United States phenomenon.
Cody Ross: Got it. And then you noted you were able to start replenishing retailer inventory levels in the U.S. cereal earlier than expected. However, your volume came in worse than we anticipated. Did it come in line with your expectations? And how much do you think inventory replenishment benefit North America?
Steve Cahillane: I wouldn't say it benefited North America. I mean the entire decline was in Rtech only. And if you -- like we said in the prepared remarks, if you were to remove U.S. cereal, the U.S. business was -- or the North American business was actually up 3% to 4%. And so it was slightly better than we anticipated, but we anticipated it being significantly down. But we're pleased that the inventory levels are starting to replenish, and we look at the back half of the year as really being when the Rtech business starts to get back on track. But if you look at the snacks business, for example, shipments actually lag consumption in that category.
Operator: Our next question is from Robert Moskow from Credit Suisse.
Robert Moskow: Can I ask you to drill down a little bit more into Europe? With profits up, I think it was 28%, it just seems a little inconsistent with the commentary about Russia and Ukraine being a headwind and volumes being down. So why was it so good? And is it possible that the lower spending in Russia is actually helping more than hurting?
Steve Cahillane: No, Rob. I'd say a couple of things. First, the Russia-Ukraine impact will be a second half impact, right? So we didn't feel that effect in the first quarter, but we will feel that going forward, and that's why we incorporated that into our outlook. And the real story, to be honest with you, in the European businesses, this is 4 years on the trough that this business has been performing very, very well. It was a bit of an outsized performance, but they grew in snacks. They stabilized cereal. They grew in wholesome snacks. And when I say they grew in snacks, I mean, Pringles consumption growth has been exceptional behind gaming, messaging, soccer events, incremental innovations like Rice Fusion and Sizzlin' ]. And the team performed extremely well when it comes to revenue growth management as well. And spending was in line with what we anticipated. So it was just an excellent quarter driven by very, very good top line performance that flowed through to the bottom line. And like I said, this is 4 years now where our European business has been performing well. And I tell the team when I visit there that there's not too many businesses like ours that talk about Europe as a growth driver to their company, but it is for us, and we're very proud of the team's performance there.
Robert Moskow: And maybe I can have a follow-up for Amit. SG&A from a corporate standpoint was down $50 million year-over-year in the quarter. How do you think it's going to kind of lay out for the rest of the year? Is it still down in 2Q and then ramp up in the back half when U.S. cereal spending goes higher? And then also, I think you gave guidance for 2% to 3% FX headwind for the year last quarter. What is it now?
Amit Banati: All right. So I'll start with SG&A. I think it was planned. Quarter 1 was planned. We knew that we were low on inventory in U.S. cereal. And so I think we've adjusted our spending appropriately. And so that's kind of what's played through. I think, as I mentioned, as the year goes through, we will restore our levels of advertising and commercial activity once supply picks up. So that's very much the plan. And I think from a full year standpoint, I'd say flattish SG&A on -- is kind of our outlook, excluding currency. So that's the SG&A plan for the year. I think on -- in terms of currency, yes, I mean, based on where currencies are today, we'd probably be in that same 2% to 3% range. I think we saw about a 2% impact in quarter 1, but 2% to 3% is kind of the outlook.
Operator: Our next question is from Michael Lavery from Piper Sandler.
Michael Lavery: I just want to come back to Europe, following up a little bit on Rob's question. Anybody who just was on the [indiscernible] might be panicking over the European consumer. And that was a little bit more focused on the U.K. Your business, I think, may be spread out a little bit more. But you touched on how well it's doing there. We clearly see that in the numbers. Can you just maybe give us a sense of how much that's category difference? You're gaining some share. So clearly, it's a brand difference. But maybe also, just is there a watch out that it might be slowing down? Just broadly, they've been talking about the total grocery store sales being down mid to high single-digit percent in the U.K. You're up 12% there. How do we think about what's ahead? Can you keep this going? Or is there some slowdown we should be expecting? How do you think about the rest of the year?
Steve Cahillane: Well, the biggest impact to the rest of the year is, as we said, the Russia-Ukraine situation and the fact that we're not shipping into Russia. We have a Pringles business there that we've discontinued, and we're not shipping anything into Russia. But in terms of the consumer and the outlook, what I would tell you is the Rtech category, we have seen it decelerating, but the salty remains extremely strong. Our portable wholesome snacks business is really coming back as the consumer is coming back. So when we look at our categories, it's -- what you saw in the first quarter was exactly that. The Rtech slowing down, kind of flattish and salty being very strong and wholesome snacks being very strong. And inside those categories with our brands performing very well, highly differentiated, great innovations coming to market, we anticipate that continuing. And as I said to Rob, it's 4 years now that this business has reliably delivered on the top line and the bottom line. Clearly, it's a more challenging environment now. We're seeing inflation in Continental Europe. You haven't seen that in a long time. What was typically a deflationary environment has shifted. So clearly, that will have pressure on the consumer. But what we're seeing right now is, obviously, that's pervasive everywhere. And so it's not just at the grocery store. Just like in all parts of the country, it's wide ranging. And the fact that we are in the types of business that we're in is a good place to be in an environment like this. And when you have strong brands inside of that, it's an even better place to be. So we're very confident in the European performance continuing to be strong.
Michael Lavery: Okay. That's helpful. And I just want to follow up on Morningstar. You gave -- you touched on a little bit there with some pausing household penetration and distribution gains and some price competition. But how much is that decline would you say more driven by the consumer versus competition? Is there sort of a plateau in consumer interest? Is it really just more some of the competitive intensity? And maybe one clarification, too. With that Morningstar bar chart, it's under North America Frozen. Is it just a simplicity of the language where that also includes the refrigerated incognito? Or is that strictly speaking just the Frozen piece of that brand?
Steve Cahillane: No. I think -- I'll start there. That includes the incognito, which is a small portion of the total Morningstar Farms. In the broader question around what's happening in the category, I'd say, in effect, you can think about the pandemic having pulled forward trial penetration and buy rates. And you saw that in the first year because there was so much at-home consumption across the grocery store, and this was a new hot category. I think it jumped forward 2 years. You also saw irrational exuberance in the category and the entrant of many, many new players, which took a lot of shelf space, took a lot of trial, not always the highest quality offerings, to be honest with you. And we've seen this in many categories in the past that take off -- they have a shakeout period. And I think what you're seeing now is a bit of that hangover from the pull forward of all those various components. Morningstar Farms, that's why we're looking at the 2-year CAGR. It's still the original since 1975, a very, very strong consumer base. When we look at our brand equity scores, we know that it's still performing very, very well. And so we're bullish on the category and the brand. But I think what we're seeing is, again, just the pull forward from the pandemic and having to lap that rather exceptional year.
Operator: The next question is from Pamela Kaufman of Morgan Stanley.
Pamela Kaufman: I have a follow-up question to Rob's question on SG&A. Just wanted to see if you could give details on how much brand building was down in Q1. And was this just in cereal or other aspects of the portfolio? And then how should we think about your brand building investments increasing in the second half as cereal comes back to fuller inventory levels?
Amit Banati: Yes. I think it was predominantly North America cereal, and it was planned. And I think we knew that going into the year. We knew that going into the quarter. And I think the good news is production is ahead of plan. We are ramping up inventory. And so we'll be restoring commercial activity faster than planned. And I think the spending will follow that. And I think, as I mentioned earlier, from a full year standpoint, our outlook is, call it, flattish with our currency -- on a currency-neutral basis. So that -- on SG&A. So that's kind of the shape of how the spend will be through the course of the year.
Pamela Kaufman: Great. And it seems like you are making good progress on rebuilding cereal inventory, and it's coming in ahead of plan. When do you expect to see a recovery in North America cereal market share? And how do you think about balancing pricing growth on cereal with restoring market share and regaining TDPs?
Steve Cahillane: Yes. So Pamela, what I'd say is, as I said in the prepared remarks, we're looking at sequential recovery, right? And we're not going to forecast market share when we're going to be at a certain point, but we're bound and determined to continue week after week, month after month to continue to build our TDPs, build our shelf presence, build our commercial activity, which includes displays and merchandising, so that we exit the year with great momentum close to where perhaps we were before all this occurred. And so that's essentially the way we're thinking about it. The second half has the return to commercial activity that looks much more similar to prestrike. And so that's how we're thinking about it. We're pleased about the progress to date, but we remain very aggressive in terms of making sure that we continue the progress that we've seen so far.
Operator: Our next question is from Ken Goldman of JPMorgan.
Ken Goldman: I think there was some concern among investors, I guess, including me that your Africa business might have trouble later this year, maybe procuring all the weed it needs just given that Africa in general buys a lot from Eastern Europe. So I think you relayed a lot of those concerns today, great to hear, but I think there's still a desire to hear maybe a bit more about where your business in Africa, your noodle business in particular, right, procures most of its wheat, how locked in it is, and if there is any risk you see of just not being able to get product beyond just the inflationary factor.
Steve Cahillane: Yes, Ken. So obviously, we're very pleased with the African performance in general, Multipro in particular. You're seeing their ability to take price is exceptional to cover rising input costs, currency and so forth. And we've mentioned many times, they've got they've got 4 decades of experience on the African continent. And their agility and ability to overcome obstacles continues to be very, very impressive. And the moat that we've built around that country in terms of our route to market with Multipro continues to be impressive. They're adding suppliers. They're adding points of distribution on a regular basis to continue to build that business. Now on the procurement front, there's clearly a lot of wheat that comes from Russia and Ukraine, and they've pivoted to all around the world to get supplies to replace that, and they've done that very effectively. And that's really across the world. And so they've got line of sight to good product production. They've got line of sight to meet our noodles forecasts for the remainder of the year and even into next year. And so I think it's down to execution. It's down to planning, and it's down to just the experience that they bring to bear in virtually everything that they do. Amit, I don't know if you want to add anything.
Operator: Our next question is from David Palmer of Evercore.
David Palmer: And just one more follow-up question on the amazing quarter you guys are having in Europe and the snacks. Just judging from one of your slides, it looks like you had mid-teens organic growth there, which was very impressive. You had -- I think it was 10 points of price there, which is also impressive. It's typically a market where it takes a while to get pricing in place. So there are some things that are just impressive versus the peers out there. But I'm wondering if there's other insights about maybe this being more of a mobility play on your snacks business there than what we would typically see from your snacks business here in the U.S. where a lot of the snacks were had more at home or at least some of the marketing was more around mobility and why that should be sustaining from here. And any sort of like timing benefits that might have happened for the first quarter?
Steve Cahillane: Yes, David. So there's really no timing benefits in the first quarter. As I said, it's just a very, very good quarter that Europe delivered. Part of the mobility and return to mobility definitely benefits our portable wholesome snacks. So that's kind of a new third leg that is performing now very well. Pringles, one of the magic of Pringles is it's a very differentiated brand. Its innovation performance in Europe has been very strong. And its brand messaging and communication has been very strong. And that's allowed us to do a couple of things over the course of the last, call it, 18 to 24 months. And that breaks some magic price points that had existed in the marketplace for some time. And so there's no ceiling on -- there's no artificial ceiling on Pringles in terms of, call it, a GBP1.99 in Europe. It's burst through that. And once you do that and prove to retailers and consumers that the brand is worth that, you start to see some continuing benefits. And so I'd say, breaking magic price points because of the investments in innovation and brand marketing, the return of wholesome snacks, the stabilization of cereal, it's just -- it's been a solidly delivered plan by Europe, and that's why we have confidence ex the Ukraine-Russia terrible situation that the underlying momentum continues.
David Palmer: No, that was outstanding. And I guess one follow-up to I think it was Pamela's question about the rebuilding of market share and points of distribution for cereal. I mean do you see any barriers or maybe if there's a friction point or 2 you'd call out that would -- that you have to address in getting back to those prestrike, prefire levels of 28%, 29% market share, for example, what would you call out there that you're trying to perhaps overcome as you're getting back to those levels?
Steve Cahillane: Yes. So first, I'd start with saying we are not at all complacent about this, and we're not at all underestimating the challenge of rebuilding our business, but we do know a couple of things. The brands are very, very strong. So if you look at the brands that have returned to I wouldn't even say yet adequate levels of inventory, but better levels of inventory like Fruit Loops and Frosted Flakes, performing well, getting their shares back. And then brands like -- some other brands -- Rice Krispies is one where obviously was very impacted by the fire, not yet there because the inventories aren't close to where we need them to be. And so we do know that the brands are -- remain very strong. These are iconic brands that consumers love. They're important to our retail partners. And again, we don't take that for granted. But as we rebuild inventory and we put commercial activity behind these beloved brands and we get our TDPs back, then we're very confident we'll continue to improve the business and get it back to where it belongs. But again, we don't take that for granted. We've got work to do, but we know what that work is, we know how to do it, and we're doing it.
Operator: Our final question is from Alexia Howard from Bernstein.
Alexia Howard: Can I just ask about the input cost inflation? You said double digits for the year and that have increased 2% to 3% since last quarter. Are we talking about level, high teens, low teens, low double digits? Just to give us an idea of where you sit versus everybody else. And given the length of the hedges, I know you can't give us exact numbers, but would it -- would we be directionally correct in thinking that the step-up in grain and oil inflation that happened as a result of Russia-Ukraine is really not likely to hit you until very late in 2022 and looking out into 2023? And I have a follow-up.
Amit Banati: Alexia, I think if you were to kind of look at specifics, it was in the teens. When we started, it was probably in the mid-teens. It's moved up 2 or 3 points from there. So that's kind of the level of inflation that we're looking at. And I think in terms of the hedges, again, it obviously covers a lot of commodities. And like I said, at an overall level, we are around 80%. We have a rolling program. And so I think we keep adding on a rolling basis. So as some of the Russia-Ukraine, is it already in, some of it is in, but it will continue to bleed through, right, as we continue to add hedges through the program. We have visibility into what our '23 outlook is. And so I think that's all going in to the planning as we look at our revenue growth management plans ahead of us.
Alexia Howard: Great. And just as a follow-up. I'm curious about the U.K. -- as a follow-up to Michael Lavery's question. How big is the U.K. to you guys at this point? And should we be worried about the change in regulations about labeling and product positioning in store for products that contain a fair amount of sugar? I know that there's a certain legal action with the U.K. government going on at the moment. I'm just curious about how you see that impacting your business later in the year.
Steve Cahillane: Yes, Alexia. So it's about 5% of our business. And the HFSS, high fat sodium sugar content is what you're referring to. And we have -- we're building plans to overcome merchandising, restrictions and so forth for all of the brands that are affected. So we're very confident we'll be able to do that. We don't see any impact for the remainder of this year. And we remain constructively engaged despite -- despite the legal activity, we remain constructively engaged and hopeful that we'll be able to work something out with the U.K. government. But it's all incorporated in the guidance.
John Renwick: Okay. Operator, we are at 10:30. Thank you, everybody, for your interest. And if you do have follow-up calls, please do not hesitate to call us.
Operator: That concludes our conference call. Thank you for your participation. You may now disconnect your lines.